Operator: Thank you for standing by. Welcome to the Allegro MicroSystems Fourth Quarter Fiscal 2023 Financial Results. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]. As a reminder, today's program is being recorded. And now I'd like to introduce your host for today's program, Jalene Hoover, Vice President of Investor Relations and Communications. Please go ahead.
Jalene Hoover: Thank you, Jonathan. Good morning and thank you for joining us today to discuss Allegro's fourth quarter and full fiscal year 2023 results.  I'm joined today by Allegro's President and Chief Executive Officer, Vineet Nargolwala; and Allegro's Chief Financial Officer, Derek D’Antilio. They will provide highlights of our business, review our quarterly and full year financial performance, and share our first quarter outlook. We will follow our prepared remarks with a Q&A session.  Our earnings release and the accompanying financial tables are available in the Investor Relations page of our Web site at www.allegromicro.com. This call is being webcast, and a replay will be available in the Events & Presentations section of our IR page shortly.  Please note that comments other than statements of historical facts made during this conference call including forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. These forward-looking statements may include projections and other statements about future events that are based on current expectations and assumptions, and as a result are subject to risks and uncertainties that could cause actual results to differ materially from anticipated results or projections. Please refer to the earnings press release we issued yesterday and other documents filed by us with the SEC, including the risk factors discussed in detail in our most recent 10-K filed on May 18, 2022, as amended on Form 10-K/A filed on August 29, 2022, and updated and supplemented in our subsequent 10-Q filings. While we may elect to update forward-looking statements at some point in the future, the company assumes no obligation to update any forward-looking information presented even if our estimates or assumptions change. Also, unless otherwise noted during the conference call, all references to income stated-related financial measures other than sales will be to financial measures not prepared in accordance with generally accepted accounting principles, or GAAP. Please refer to the press release posted to our Web site for information regarding our non-GAAP financial results and a reconciliation of our GAAP to non-GAAP financial measures.  The non-GAAP financial measures that are discussed today are not intended to replace or be a substitute for the presentation of Allegro's GAAP financial results and may be calculated differently than similar measures used by other companies. We are providing this information because it may enable investors to make more meaningful comparisons of core operating results and more clearly highlight the results of our core ongoing operations. It is now my pleasure to turn the call over to Allegro's President and CEO, Vineet Nargolwala. Vineet?
Vineet Nargolwala: Thank you, Jalene. And good morning and thank you all for joining us for our fourth quarter and fiscal year 2023 conference call. I'm pleased to report that we delivered a strong finish to fiscal year 2023 with record sales to the fourth quarter of $269 million, up 35% year-over-year. We also achieved record non-GAAP earnings per share of $0.37, an increase of over 75% year-over-year.  Solid fourth quarter results contributed to record 2023 sales of 974 million, up 27% year-over-year. We continue to see strong momentum in e-mobility, clean energy and automation, fueled by secular mega trends that are transforming automotive and industrial markets. Sales in these strategic growth areas grew 46% year-over-year to $477 million, or 49% of total 2023 sales. Additionally, we saw significantly increased design win momentum in fiscal year 2023 with approximately two thirds of our wins coming from strategic growth areas. The results in Q4 and throughout the past year demonstrate that our strategy is sound and it's working. E-mobility, which includes the increasing electrification of vehicles and higher adoption of ADAS feature sets, continues to drive Allegro's above-market growth.  In fact, sales into e-mobility applications expanded to 47% of our Q4 automotive sales and to 43% of Allegro's full year automotive sales, up from 36% in 2022. Additionally, approximately two thirds of our total 2023 automotive design wins were in e-mobility. Our solution space design approach is being well received by our customers. During the fourth quarter, we secured a multi-portfolio ADAS design win in North America, validating our strong value proposition. We also won multiple current sensor design wins with a leading European OEM during the quarter. Moving on to the industrial market, continued growth in clean energy and automation end markets drove 67% year-over-year sales growth in Q4, resulting in record sales for the quarter and the year. Design win activity in the quarter was led by data center applications leveraging our power ICs for motor drivers. We had a large win at a Japanese manufacturer as well as multiple wins with a Chinese manufacturer. We also saw several wins in Asia and Europe for EV charging stations using our sensor IC technology.  The majority of our R&D investment is now focused on our strategic growth areas, which have grown to nearly half our sales, underscoring our core value of innovation with purpose. We take great pride in our leading position at magnetic sensors, which represented approximately 60% of fourth quarter sales. And we continue to innovate with industry leading solutions. During the fourth quarter, we announced the release of our Automotive Safety Integrity Level or ASIL C rated high precision field current sensor to enable customers to meet more challenging e-mobility safety and accuracy standards.  We also continue to raise the bar with our power innovations. Identifying and overcoming sources of electromagnetic interference or EMI in e-mobility applications is notoriously challenging. It often goes undetected until late in the product design cycle, adding to development time and cost. To address this issue and accelerate our customers' time to market, we launched a power DC-to-DC regulator module that reduces electromagnetic interference inherent in highly electrified industrial and automotive applications, such as EVs. Our newest regulator also reduces both footprint by 70% compared to conventional solutions.  We wrapped up an outstanding year by hosting our inaugural Analyst Day event where we articulated our strategy and vision, and how we're uniquely positioned to benefit from the megatrends of electrification and automation in industrial and automotive markets. We also introduced an updated financial model based on the opportunity we see going forward in our strategic growth areas.  As I complete my first year as CEO, I'm very proud of what we've achieved in a short period of time. And I would like to thank the entire Allegro team for this terrific performance and the dedication in serving our customers. We have sharpened our market focus on e-mobility, clean energy, and automation that intersects with our technical expertise in our market leading sensor and power product portfolios.  We have also aligned our investments in R&D and customer support capabilities to focus on these high-growth secular mega trends in automotive and industrial markets. I'm confident in our strategy and the ability of our teams to execute it. I believe we're still in the very early innings of our growth journey, and I couldn't be more excited for the future.  I'll now turn the call over to Derek to review the financial results and provide guidance for our first quarter of 2024. Derek? 
Derek D’Antilio: Thank you, Vineet, and good morning, everyone. In Q4, we had record sales of $269 million, gross margins were 57.8%, operating expenses were 27.6% of sales, operating income was again 30% and adjusted EBITDA was 35.1% of sales. As a result, earnings were also a record $0.37 per share at the high end of our guidance range and more than 75% above Q4 of fiscal '22.  Sales in the fourth quarter were also at the high end of our guidance range and increased by 8% sequentially and 35% compared to Q4 of fiscal '22. Sales to our auto customers were $182 million or 68% of Q4 sales, an increase of 9% sequentially and 29% year-over-year. Within auto, e-mobility sales increased 17% sequentially and more than 60% year-over-year, representing 47% of fourth quarter automotive sales, up from 38% a year ago.  Industrial sales were $58 million, increasing 15% sequentially and 67% year-over-year. We saw sequential growth in automation and clean energy end markets, while shipments into data center declined sequentially as expected. Other sales were $29 million, declining 4% sequentially and increasing 19% year-over-year.  From a product perspective, magnetic sensor sales were $167 million, increasing 8% sequentially and 31% year-over-year. Sales of our power products were $103 million, an increase of 9% sequentially and 40% year-over-year. Sales through distribution represented 43% of total fourth quarter sales and POS sell-through remained strong during the quarter, and we continue to work with our partners to restock their inventory levels to within target levels. Consistent with prior quarters, no single customer represented more than 10% of Q4 sales and sales by geography we're well balanced. Turning to Q4 profitability. Gross margin was 57.8%, slightly above our guidance of approximately 57% as a result of continued favorable product and channel mix. Operating expenses was $74 million or 27.6% of sales compared to 27.7% in Q3, and 32% a year ago. We continue to invest in research and development as well as in local sales and technical resources close to our customers, particularly in our strategic growth areas. Fourth quarter R&D expenses were 14% of sales and SG&A was 13% of sales.  Operating margin was 30% of sales compared to 30% in Q3 and 23% a year ago. Operating margin dollars increased by 75% year-over-year on a comparable sales increase of 35%, demonstrating the leverage in our operating model. The effective tax rate for the quarter was 11.6%. In the fourth quarter, diluted share count was 195 million shares and net income was $72 million or $0.37 per diluted share, an increase of 3% sequentially and 76% year-over-year. Turning to full year 2023 results. Fiscal '23 sales were a record $974 million, an increase of 27% year-over-year. Gross margin was 56.8%, operating margin was 28.6%, adjusted EBITDA was 33.7% of sales, and EPS was $1.28 per share, an increase of 63% year-over-year.  Sales to auto customers increased by 24% year-over-year to $658 million and represented 68% of full year sales. Within auto, e-mobility sales increased by 45%. Industrial sales increased by 48% year-over-year to $197 million, driven by significant growth in clean energy and automation. And other sales increased by 15% to $119 million.  Moving on to product sales. Magnetic sensor sales increased by 20% year-over-year to $599 million and sales of our power products increased by 40% year-over-year to $375 million. Full year sales by geography were well balanced, with 26% of sales in China, 24% of sales in the rest of Asia, 17% in both Japan and Europe, and 16% in the Americas.  Moving to the balance sheet and cash flows. We ended Q4 with cash of $352 million. Cash flow from operations in the fourth quarter was $48 million. Capital expenditures, primarily for probe and test equipment were $30 million and free cash flow was $17 million. For the full year, cash flow from operations was $193 million, CapEx was $80 million and free cash flow was $113 million.  Fourth quarter DSO was 46 days compared to 47 days in Q3, and days of inventory were 127 days compared to 103 days in Q3. As discussed on our Q3 call, we continued to rebuild wafer and die bank and expect this to continue through the first part of FY '24.  Now before I turn to Q1 guidance, I'll provide some color on what we are seeing in the business environment. From a market perspective, industry analysts are projecting auto production growth of 4% and EV growth of approximately 30% over the time period equivalent to our fiscal '24. Our auto and industrial orders and shipments have been resilient, and we expect to see continued strength in these markets in Q1 with shipments to data center and consumer markets remaining muted.  Operationally, we continue to improve our lead times and reduce our delinquent backlog. And finally, from a supply perspective, we have worked to largely overcome wafer capacity constraints and continue to align our backend capacity with projected demand.  Now with that backdrop, I'll turn to our Q1 outlook. First, as a reminder, following a 14-week fourth quarter, we are returning to a standard 13-week quarter in Q1, which ends on June 30. We expect first quarter sales to be in the range of $270 million to $280 million. And based on the midpoint of this range, we are projecting growth of 26% compared to Q1 of fiscal '23.  We expect Q1 gross margins to be approximately 56%, reflecting the anticipated normalization of product and channel mix in a relatively weaker U.S. dollar. We expect operating expenses to be between 26% and 27% of sales. We expect our non-GAAP tax rate to be approximately 11% and our diluted share count to be approximately 195.5 million shares. And based upon these assumptions, we anticipate non-GAAP earnings per share to be in the range of $0.35 to $0.39 per share.  Now I'll turn the call back to Jalene for questions. Jalene?
Jalene Hoover: Thank you, Derek. This concludes management's prepared remarks. Before we open the call for your questions, I'd like to share our first fiscal quarter conference line up with you. We are attending Mizuho's 5th Annual Auto Technology conference on May 30 at their New York City office; TD Cowen's Technology, Media and Telecom conference on May 31 at the Lotte New York Palace Hotel; and NASDAQ's London conference on June 13th and 14th at Jefferies London office who is partnering in the event.  We will now open the call for your questions. Jonathan, please review Q&A instructions.
Operator: Certainly. [Operator Instructions]. We'd like to ask that you please limit yourself to one question and one follow up. You may get back in the queue as time allows. Our first question comes from the line of Blayne Curtis from Barclays. Your question, please.
Blayne Curtis: Hi. Good morning, guys. Thanks for letting me ask a question and great results. I had two questions. Maybe the first, I just wanted to talk about the step up in e-mobility if you can just wrap a little color? It's a huge step up obviously. You've been getting a lot of design wins. I'm kind of curious, is it -- if you have any color between EV and ADAS and any color as to what drove the big step up?
Vineet Nargolwala: Hi, Blayne. This is Vineet. Thanks for the question. So as we've articulated at Analyst Day and in various discussions in earnings calls before, e-mobility is a really strong focus for us. We don't really break out the details between EV and ADAS. And increasingly, there's a high degree of convergence in the ship rate of our products related to that. I will tell you that we're really pleased with the momentum we're gaining in e-mobility. It's not just in the shipment rate but also in our design wins. And it's clear that our customers are pivoting their entire investment and capital focus to electrifying their fleets, making them more autonomous, adding more say safety features, and we believe we have the right portfolio to support them in this transition.
Blayne Curtis: Thanks, Vineet. And then a question for Derek. You talked about bringing lead times and delinquent backlog down. I was wondering if you could wrap some numbers around that. I'm just trying to get a perspective as to how far you caught up on that delinquent backlog.
Derek D’Antilio: Yes, Blayne, good question. Thank you. Over the last several quarters, as we all know, there's been an anomaly in the backlogs of companies where when there was a wafer constrained environment, we had to try and ship product and we all had delinquent backlog, and we peaked out at about 30% of delinquent backlog a few quarters ago. We've got that number down, that delinquent backlog number down pretty significantly. We still have some delinquent backlog. We still have a significant amount of backlog to ship over the next several quarters. And we don't provide a backlog number, but we continue to work with our customers on both scheduling the backlog and cancellations and reschedules and those sorts of things. So we continue to have strong backlog maintenance with our customers. It's really a focus on reducing those lead times. And we're making progress on reducing lead times, particularly on the high run of products and particularly with our distribution channel.
Blayne Curtis: Thanks, guys.
Operator: Thank you. One moment for our next question. And our next question comes from the line of Gary Mobley from Wells Fargo. Your question, please.
Gary Mobley: Hi, guys. Congratulations on a strong finish to the fiscal year. I wanted to probe a little bit deeper into I guess the divergent commentary with respect to your revenue guidance for the first quarter, and then delinquent backlog coming down. Because if I just for the extra week in the fourth quarter, for all intents and purposes, you're guiding for 10% sequential revenue growth, your delinquent backlog is coming down. So I'm just wanting to get some additional color behind that large sequential comp. Is it distribution, inventory replenishment related? And then as well, maybe if you can provide some preliminary view on fiscal year '24 revenue growth.
Derek D’Antilio: Yes, Gary, this is Derek. So when I look at Q1, as I talked about in the prepared remarks, really the sequential increase, you're right, it's 10% if you put it on a comparable 13-week basis, and that's really driven by the continued strength in automotive and industrial. And as I talked about, we expect data center to remain pretty muted. We expect the consumer or the other market to remain fairly muted. In the last few quarters, we have continued to rebuild the distributor inventories, and that's getting within target levels. So I don't expect that to be the driver in Q1. It's really the automotive and the industrial, and the strength there. From a full year perspective, we're not going to provide full year guidance. But at our Analyst Day two months ago, we laid out our CAGRs and our views of how we expect to grow with the low double digit ranges, taking auto production growth and growing that at 7% to 10% on top of that, taking industrial and growing that at 5% to 10%. And then looking at the consumer market and what that will do from year-to-year. That's still a good way to view our growth for the year.
Gary Mobley: Thanks, Derek. As a follow up, I just want to ask about your China-related business. Correct me if I'm wrong, but your automotive business may have a little bit about outsized exposure to China. And I'm just wondering how you guys are seeing trends there?
Vineet Nargolwala: Hi, Gary. This is Vineet. I'll take that one. So China is a really important region for us. It is one of our fastest growing regions. And it's no surprise considering the already strong EV presence that continues to grow. We are watching the China market very carefully. I will tell you that we're seeing really consistent ordering patterns as well as design win performance in our China market. So we don't really see any major signs of slowdown in China. But obviously the macro continues to be a topic that everybody is focused on.
Gary Mobley: Thanks, Vineet.
Operator: Thank you. One moment for our next question. And our next question comes from the line of Vijay Rakesh from Mizuho. Your question, please.
Vijay Rakesh: Yes. Hi, Vineet and Derek, solid guide here. Just a quick couple of questions on the EV side. It looks like you're talking about fiscal '24 EVs continuing to grow 30% year-on-year. Wondering if your market share and design pipeline, how you see that, the magnetic sensors and that whole automotive group growing next fiscal '24?
Vineet Nargolwala: Yes, Vijay, you were cutting out a little bit, but I think I got the gist of your questions. So we have said in the past that we are now really pivoting our R&D investment towards e-mobility, clean energy and automation. And more than two-thirds of our investment is now focused there. And that mirrors what we're seeing in our design performance. So we haven't really provided market share figures by automotive and so on. On Analyst Day we provided what we thought our magnetic sensor IC share was. And we believe that our exposure to EVs, to economists and safety-related feature sets, continues to be really strong, continues to grow. And we're really pleased with our design pipeline and the design win performance we've seen in fiscal 2023, where more than two thirds of our pipeline is now in the e-mobility space, especially for automotive. So we expect that to continue to grow, consistent with where we see our customers investing.
Vijay Rakesh: Got it. And then as you look at fiscal '24, obviously off to a great start with the June quarter guide here. Just wondering, I know Derek talked about long-term CAGR, but you guys have been growing well north of that. So wondering if you could share a stab at what fiscal '24 top line should look like year-on-year. Thanks. That's it.
Derek D’Antilio: Yes, Vijay, as I just answered for Gary the same question basically, we're not going to give full year guidance. But I think when we put out that long-term CAGR just two months ago, that long-term CAGR is something we really believe in. We look at the auto production growth, and it's based upon market growth for those years, and outperformance compared to that market growth. So, for example, in '24 right now, we're expecting that the auto production will grow 4%, EV 30% and that's how we get to that 7% to 10% above that auto production. Industrial markets, we expect to grow well above the industrial markets. And then the consumer markets, that will grow at GDP or how that consumer market will grow. So that's something you may know better than us. So that's kind of how to view our '24. And I would say that's pretty in line with that long-term CAGR.
Vijay Rakesh: Got it. Thanks.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Joshua Buchalter from TD Cowen. Your question, please.
Joshua Buchalter: Hi, guys. Thanks for taking my question and congrats on the results. I wanted to kind of follow up on Gary's question regarding China. There's been some well documented slowdowns there. But it seems like from your vantage, it's consistent. Was that a function of your customers doing better within that market, because they're just -- the backlog and unit situation doesn't matter, because it's so extended the amount of backlog you have. I'm just trying to get comfort with the volatility that we've seen in that market specifically. Thank you.
Vineet Nargolwala: Yes, Josh, this is Vineet. I'll take that. So when we look at the China market, roughly about 26 million units of production, and that is expected to stay flat year-over-year going into calendar 2023. But when you look at specifically the EV production, that is predicted to grow about 18%. So I think if you parse the China automotive environment, there is still continued growth and strength in EV production and EVs are continuing to gain share. Within that, and it's hard for us to comment on other people's situation. For us, we have really strong relationships not just with the global OEMs, but also the local OEMs in China, as well as the major tiers. And so we feel really good about our design win pipeline, our design win performance and a resulting orders rate.
Joshua Buchalter: Got it. Thank you. And then I wanted to ask about I guess the capacity situation. It sounds like the constraints that we've had the last couple of years are sort of in the rear view. And I guess with that in mind, do you mean your on-books inventories is a bit higher than it has been those last several quarters. Should we -- I guess, could you talk to your comfort with current levels? Should we expect that to trend up as it sounds like you want to keep working on getting lead times down, or is this a level that you feel comfortable with on-books versus in the channel? Thank you.
Derek D’Antilio: Yes, Josh, I'll take that. We built our inventory days from -- its 127 days exiting Q4, it was 103 days exiting Q3, and it kind of troughed out below 80 a couple of quarters ago. And at that point, we had stock outs and we had delinquency problems. So we continue to rebuild that wafer bank. It's all wafer and die bank on-books. But now we're working to align the backend capacity, the wafer, the probe and the test capacity with that for the projected demand. So we're pretty comfortable with that on-books inventory, because it's all in wafer and die bank. And as I said, that will continue to trend up a bit here in the first part of 2024 in eliminating wafer and die bank’s strategic wafer and die bank, so we're comfortable with our on-books inventory.
Joshua Buchalter: Understood. Thank you.
Operator: Thank you. [Operator Instructions]. And our next question comes from the line of Quinn Bolton from Needham. Your question, please.
Trevor Janoskie: Hi, Vineet and Derek. This is Trevor on for Quinn. Thanks for letting me ask a few questions here. So to begin, I wanted to get some clarity on this. So could the inventory previously sold to Sanken in your old distribution agreement be a headwind to new sales from Allegro in the Japanese market over the next two years? And if a Japanese customer buys from Sanken instead of directly from Allegro during these next two years, I assume that Allegro cannot resurrect this sale. Any color there would be helpful.
Derek D’Antilio: Yes, Trevor, this is Derek. So actually, the way we transition that is effective April 1. All new sales from Allegro effective April 1 of this year are all going to distributors in Japan. And we're working with Sanken -- during the fourth quarter, we worked with Sanken to help reduce their inventory levels. So our sales into Japan actually declined in the fourth quarter of this year. So that's behind us now. We expect sales in Japan to actually start to increase now again in Q1 and heading off into 2024. We do have a two-year non-exclusive tail on the distribution rights with Sanken in Japan to liquidate a very small amount of inventory. But we'll help direct where that inventory goes.
Trevor Janoskie: Awesome, very helpful. And when you're looking at demand in general [indiscernible] China, have there been any indications that order patterns are beginning to change at all? And related to this, what do you make of TSMC's comments about auto demand potentially slowing in the second half?
Vineet Nargolwala: Yes. Hi, Trevor. This is Vineet. I'll take that question. So I think to your earlier question, as we come out of the supply shortages, obviously we will expect to see a normalization of order patterns. Having said that, we're actually not seeing any abatement of the high demand that we had seen for our products and solutions. I can't really speak to what TSMC is saying. They potentially have a much broader exposure across multiple product lines within the automotive space. I think from where we sit, and our auto patterns, our design win pipeline, it continues to be really strong. And as we've said before, we are focused on long-term growth here. Quarter-to-quarter, I think we might see a few ups and downs, but we're not really concerned with that. We're really focused on making sure that we're serving our customers in this transition to e-mobility and to clean energy over the next decade.
Trevor Janoskie: Awesome. So is it fair to assume that there were no auto-related cancellations within the quarter?
Vineet Nargolwala: Yes. So, Trevor, I didn't say that. So cancellations, pull-ins, push-outs are a normal part of auto management. So if I said they were no cancellations, that wouldn't be a true statement. Of course, they were cancellations. But when you look at the auto coverage versus our forecast, when we look at the health of the order book, it continues to be very strong.
Trevor Janoskie: Awesome. Thanks, guys.
Vineet Nargolwala: Thank you.
Derek D’Antilio: Thank you.
Operator: Thank you. This does conclude the question-and-answer session of today's program. I'd like to hand the program back to Jalene Hoover for any further remarks.
Jalene Hoover: Thank you, Jonathan. And thank you all for joining us this morning. This concludes this morning's call.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.